Operator: Welcome to the Anavex Life Sciences Fiscal 2022 Second Quarter Conference Call. My name is Clint Tomlinson, and I will be your host for today's call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session.  Please note that this conference is being recorded. The call will be available for replay on Anavex's website at www.anavex.com. With us today is Dr. Christopher Missling, President and Chief Executive Officer; and Sandra Boenisch, Principal Financial Officer. Before we begin, please note that during this conference call, the company will make some projections and forward-looking statements. These statements are only predictions based on current information and expectations and involve a number of risks and uncertainties. We encourage you to review the company's filings with the SEC. This includes, without limitation, the company's Forms 10-K and 10-Q, which identify the specific factors that may cause actual results or even events to differ materially from those described in these forward-looking statements. These factors may include, without limitation, risks inherent in the development and/or commercialization of potential products, uncertainty in the results of clinical trials or regulatory approvals, need and ability to obtain future capital and maintenance of intellectual property rights. And with that, I would like to turn the call over to Dr. Missling.
Christopher Missling: Thank you, Clint. We appreciate everyone joining us on today's conference call to review our most recently reported financial results and to provide a business update. We are pleased with the continued advancement regarding our lead product candidate, ANAVEX 2-73in ultimate disease and drag syndrome, as we maintain our attention on execution across each of our clinical programs and overall business operations. In the second half of 2022, we are expecting two pivotal top line results readouts, including top line results from the randomized placebo-controlled 2b/3 study ANAVEX 2-73-AD-004 for the treatment of Alzheimer’s and from the randomized placebo-controlled excellent Phase 2/3 study ANAVEX 2-73-RS-003 for the treatment of pediatric patients with Rett syndrome. Next month, ANAVEX will host our R&D Day for investors and analysts on Tuesday, June 21, 2022. This R&D day will include presentations from the company's leadership team with a focus on the company's clinical development pipeline. Additional details will follow closer to the event. In July, a oral presentation of Effects of the Sigma-1 receptor agonist blarcamesine, ANAVEX 2-73 in a murine model of fragile X syndrome, Neurobehavioral phenotypes and receptor occupancy’ to be presented at 18th NFXF International FX International Fragile X Conference, July 14 to 17, 2022, taking place in San Diego, California. Further pipeline expansion of the ANAVEX platform using gene biomarkers of response, applying precision medicine for neurological disorders with unmet medical need is expected in 2022, including meeting with the FDA to discuss the ANAVEX2-73 Parkinson’s disease program including a pivotal Phase 3 study. Planned initiation of ANAVEX2-73 imaging-focused Parkinson’s disease clinical study sponsored by the Michael J. Fox Foundation and a planned initiation of a potentially pivotal Phase 2/3 study in Fragile X, the most frequent genetic cause of autism spectrum disorder. And a planned initiation of a Phase 2/3 clinical trial for the treatment of a new rare-disease indication. And planned initiation of ANAVEX3-71 Phase 2 clinical trials for Frontotemporal dementia, schizophrenias and Alzheimer’s disease indications. And now I would like to direct the call to Sandra Boenisch, Principal Financial Officer of Anavex, for a brief financial summary of the recently reported quarter.
Sandra Boenisch: Thank you, Christopher, and good afternoon to everyone. During the quarter ended March 31, 2022, we continue to maintain fiscally responsible cash utilization as we expand and advance our pipeline. Our cash position at March 31, 2022, was $153.3 million, which we believe is sufficient cash runway to fund our operations and our clinical programs beyond the next 4 years. Our research and development expenses for the first - for the second quarter of fiscal 2022 were $8.6 million as compared to $6.7 million for the same quarter of fiscal 2021. General and administrative expenses were $2.9 million compared to $2.2 million in the comparable quarter of 2021. Overall, we reported a net loss of $10.1 million for the quarter, which is $0.14 per share. The overall increase compared to the previous year period is primarily related to an increase in non-cash compensation charges period-over-period, which is driven by the addition of staff to manage and support our clinical studies in development. Thank you. And now I'll turn the call back over to you, Christopher.
Christopher Missling: Thank you, Sandra. So we are looking forward to the next month's R&D day event where we will present our broad SIGMAR1 platform portfolio, which allows us to expand further within the neurodegenerative and rare disease space. And we remain on track to deliver data readouts as we are present - well as presentations at medical meetings and initiating biomarker-driven precision medicine clinical studies throughout the rest of the year as planned. I would like now to turn the call back to Glenn for Q&A.
Operator: Thank you.  Our first call is coming from Yun Zhong at BTIG. Go ahead, Yun.
Yun Zhong: Hi. Yeah, thank you very much for taking the question. on the pediatric Rett syndrome study, and I see that the study has not completed patient enrollment. So I assume it's still ongoing. So I wanted to confirm if you're going to put out the press release on patient enrollment completion and on the primary endpoint, is it reasonable to assume that it's still going to be AUC  And have you talked to the FDA the - I believe the last guidance or last business guidance after the second data readout from the Rett syndrome was that you were going to talk to the FDA. So has that happened yet, please?
Christopher Missling: Thank you for the call. Indeed, so the last communication is that we are planning to meet the FDA to discuss the Rett program and its procedure to move forward with filing an NDA for approval. And since we finished and completed the AVATAR study in adults, a small study despite the fact that it's a successful study, a Phase II study, which was also small in the ongoing EXCELLENCE study, which is in heterodox  study, which is the largest study. So we are waiting for this meeting to take place. It has not yet taken place, but it will take place soon. And then we will learn how to move forward. And indeed, the Rett EXCELLENCE study with pediatric patients is still ongoing and rolling, and we might have a press release when the enrollment is completed.
Yun Zhong: So the - well, with regard to the primary endpoint is still going to be  instead...
Christopher Missling: That's right. So when we presented AVATAR, we learned from the first Phase II study that the RSBQ AUC that includes the CGI-I linked responder analysis. So the RSBQ AUC includes the CGI-I respond analysis linked response analysis. That is the endpoint, which we will also propose for the EXCELLENCE study. That is correct. It's consistent with the AVATAR study.
Yun Zhong: Okay. So the second question is on the Parkinson's disease program. And can you remind us what you would like to achieve with the imaging study? And do you need to talk to the FDA before you initiate that imaging study?
Christopher Missling: It's a good question. So the goal is to show what we have already seen with the presently  that the Sigma-1 is completely clearly dose-dependent target engaging the Sigma-1 receptor in the brain. And that is an additional confirmation in humans and among them also in Parkinson's patient. That's why we were able to receive the full support non-dilutive funding as a grant from the Michael Fox Foundation for this study. And we probably will very likely use that opportunity to meet also with the FDA to discuss the Parkinson's program in its totality, including the Phase III, which we said we are happy to move forward with given the successful Phase II PDD study.
Yun Zhong: Okay. Great. Thank you very much. And we look forward to the R&D Day in June.
Christopher Missling: Thank you very much.
Operator: Thank you. The next call is from Pete Stavropoulos from Cantor. Go ahead, Pete. Pete, I think you're muted.
Pete Stavropoulos: Hi, Christopher how are you?
Christopher Missling: Good. How are you?
Pete Stavropoulos: Good. Thank you. So I don't know if I missed it in the previous question, but I know that you haven't spoken to the agency recently. But from previous discussions, do you have a sense of whether you or not are you going to need to wait for the pediatric data to file for the adult indication?
Christopher Missling: So the pediatric data is a larger study. And in theory, if you would file for adults, you would not need it because it's a different age group. But what we believe is probably a prudent assumption is to include the pediatric study in its totality for the Rett program. But as we stated, we don't know that yet until we meet the FDA for guidance on how to move forward in terms of regulatory filing for approval of ANAVEX 2-73 for Rett syndrome.
Pete Stavropoulos: Thanks. Thanks for the clarification. So I also wanted to ask about your thoughts regarding sort of the lessons and takeaways from the Rett syndrome experience with 273 and their applicability to potentially clinical development initiatives with the compound, say, in fragile X. And if you could give us a sense of when you anticipate the fragile X program to initiate patient enrollment.
Christopher Missling: All right. So we are very excited about the fragile X program for two reasons. First of all, we have very solid and it is a very strong, evident in animal model in fragile X, which was published last year. And is a new data coming out and among them, it will be presented also at the conference in July, which we pointed out and there will be additional biomarker inflammation are making very clear of pathology, biomarker of pathology, they can clear that the drug really improves the phenotype of this disease, which is the largest autism spectrum disorder. And why it's exciting for second reasons because this largest artisan spectrum disorder is like Rett syndrome under the autism spectrum disorder. And we measured the ADAM  score, which is a key measure of anxiety, which is a known feature of limitation and problem for these patients with autism. And we were very successful in the both Rett studies in the Phase II and in the Phase III AVATAR to successful improvement with the drug on this endpoint of the ADAM score. And that is why we're very excited, both from the preclinical data, as well as from the clinical data side of point of view. So what we are now doing, we want to make sure that the protocol is very robust because the challenge of fragile X it's a very diverse patient profile. So they are very different pits of the disease, which is not similar. And we want to make sure we are using a population, a trial population, which is as homogeneous as possible so in order to avoid a trial failure because not the drug - doesn't work, but because the patients are so different and the endpoints you selected for these patients don't apply to all. And this is a key what we are now in the process of figuring out then we will meet with the agency and confirm that approach and also make sure that we can run this as a pivotal study. So we expect this to take place in the second half of this year.
Pete Stavropoulos: Okay. And then in the same - at the same time, will you be also consulting with the EMA? Or that will be at a later time point?
Christopher Missling: That's right. Since we will include most likely also pediatric patients, we will also include the discussion with EMA, which is important because they want to be also have a discussion before that trial starts.
Pete Stavropoulos: And just one last question on the Alzheimer's program. Can you provide any type of color on the rollover rate from the Phase IIb/III into the open-label expansion?
Christopher Missling: Yeah. So the last I heard was there was over 90% rollover from patients who finished the placebo-controlled study in the open label extension. So that's a very positive sign. And we're very excited because we're getting really close to finishing the study of the last patient out, and then we can start the process of data cleanup, as well as then locking the database and then subsequent releasing the data. And we're very excited about this.
Pete Stavropoulos: Excellent. Thank you very much for taking our questions.
Christopher Missling: Thank you, Pete.
Operator: The next question is I'm guessing from Soumit Roy at Jones Research.
Unidentified Analyst: Hi. Its Iad here for Soumit here. 
Christopher Missling: Okay, great, sorry.
Unidentified Analyst: Comebacks on all the progress. A question on the Alzheimer front, could you give us a little final detail on when should we think the data to come out? Is it still - is it third quarter or fourth quarter? And...
Christopher Missling: It's a good question. So since we said second half, I'd like to stick to that because we don't know exactly how long the data feed up takes. And if it takes - it's quicker than performed than it might be in the Q3. And if it takes longer, then it will be just slipping into Q4. So it's best really to call it second half 2022. But when we have more clarity, we'll provide a closer update. Was that the only question?
Unidentified Analyst: Thank you.
Christopher Missling: Thank you.
Operator: I have one question from  from H.C. Wainright. And he said, what are the key points of the agenda for your upcoming meeting with the FDA with the Parkinson's disease program pivotal study. For example, with a biomarker endpoint being pushed up in priority owing to our recent success with Sigma-1 mRNA expression data in Phase II?
Christopher Missling: This will be all on the agenda. And since we are sharing this data very timely now. And we want to also make sure we are able to include the extension data of the Parkinson's study. And since this is now completed. And once we have that, we will be able to have a bigger picture of the Parkinson's program and the items you just referred to will be all discussed.
Operator: Okay. A second question from Moose is can you give us a preview of the new indication that you're excited about in the near degenerative and rare disease space that you'll be showcasing at your upcoming R&D Day event?
Christopher Missling: Right. So we will have the ability to choose between several rare lease indications, and that's why we have kept like that. And it really shows the work and the value of the platform we have. And it's backed by preclinical data on different indications. And so we want to make sure we are doing the - or prioritizing the right rare disease if we are comfortable with the clinical design to show efficacy. And that's really what we're working on. So that's why we didn't mention what indication it is. But there are different indications, separate indications, independent indications, which could become the indication which we will release once the trial starts. And it's only because we have the opine to showcase several great disease indications being demonstrated positively impacted by the drug ANAVEX 2-73 in respective chemical animal models.
Operator: Amos, I see you're in the chat now. You can go ahead and ask your own questions.
Unidentified Analyst: Thank you. Hi, Chris thanks for taking our questions. So in terms of your upcoming 273 image focused Parkinson's study, we were wondering if you collected imaging data from the Phase II trial. And if you did, could this methodology from your current study we used to combine the data?
Christopher Missling: If I may ask combining the data with what exactly...
Unidentified Analyst: From - if you may have collected imaging data in the Phase II trial or you did not collect any imaging?
Christopher Missling: Yeah, we did not. In the Phase II Parkinson disease dementia study, yes, there were no imaging study collected. And that's why this imaging study separately is now taking care of that.
Unidentified Analyst: Okay. Okay. Understood. And in terms of 371 for AB, will you use the same cohort characteristics? Or do you think this drug could potentially differentiate from 273 and be more efficacious in some subpopulations of AD patients?
Christopher Missling: That's an excellent question. So we're expecting that there will be some additional data on 371 per clinically also to give us guidance on this to fine-tune the indication. But right now, without any further knowledge on this, it could be the best choice for going into patients with AD, which are - have the best, I would say, cohort consistency and homogenousity to - and also availability to make the trial as robust and as quick as possible in its enrollment. So this will be more likely the early Alzheimer's disease patients, similar to what the Phase II of the ANAVEX 2-73study is right now.
Unidentified Analyst: Okay, understood. And just finally on 371. We're looking forward to this one. Could you expound briefly on the strategy for three indications for this program? So clearly, FTD appears to be a front run here. How confident are you in the schizophrenia indication given the Sigma-1 receptor action that's been associated with off-target effects in psychosis?
Christopher Missling: Yeah. So we actually were very excited because 3-71 as a reminder to everyone is not only a Sigma-1 agonist, but also an M1 agonist. And there are trials out now, which has been shown a very successful in this indication of schizophrenia with pure M1 agonist. And if you now look at what we heard from the inventor of ANAVEX3-71 who always told us that he looked at M1 agonist as a target and he found by accident, so to speak, ANAVEX3-71 being more potent than all the other previous drugs we have developed as M1 agonist. And we looked at the profile of the 371 molecule we saw that there was not only M1 agonism but also Sigma-1 activity. So he posted that ANAVEX3-71 in schizophrenia would be even more proactive and successful possibly because of the Sigma-1. And so that's why we're excited about the 371 into schizophrenia as well.
Unidentified Analyst: Brilliant. Thanks for taking my questions. Good luck this year.
Christopher Missling: Thank you very much. You to look like maybe you had a follow-up question or...
Unidentified Analyst: Yes. Thank you very much a follow-up question. So it looks like you have a lot of milestones planned for the second half of this year. And so I wonder - I'm not questioning the capacity to be able to complete all the milestones since a lot of activities. But if you have to talk about the priority, which one do you think could be the most important one that you think for the pipeline development?
Christopher Missling: I think it's really consistent with the bullet points you have seen today. So it's really finishing the Alzheimer's study, which is an autopilot. So we just have to do the cleanup work, if you like, and the same is finish the Rett study. But then following with the priority, I think it would go into Fragile X study, given that's a relatively short study. And can be pivotal potentially and it's a huge unmet need and seven times the size of red syndrome in terms of indication number of patients. But then also following up with a Parkinson disease pivotal study. And also, I would not rule out fronto dementia and also schizophrenia, especially schizophreniafor 371, when I say fronto dementia, I mean for 371 because schizophrenia is a relatively short study, and that hopefully would be important to that. But also, I don't want to forget to mention the rare disease, which we have not yet given the name for the indication and to do a pivotal study in that indication. So really consistent with the bullet points you have seen.
Unidentified Analyst: Okay, great. Thank you for the confirmation.
Christopher Missling: Thank you. Looks like we may have a follow-up question from Pete as well. No maybe not.
Clint Tomlinson: So Christopher, I think that, that - I have no further questions at this time, so you can continue.
Christopher Missling: Thank you very much. So again, to reiterate, we are looking forward into the remainder of 2022. We're very excited about the company's potential platform, especially as we build on successful completion of two important biomarker-driven precision medicine pivotal studies, and we're looking forward to this pivotal clinical readouts in Alzheimer disease in pediatric syndrome. But also, we are very excited to move forward with the planned studies, which we really want to initiate because of its unmet need, and we're very excited about this. So look forward to updates and reach out to you for questions.
Clint Tomlinson: Thanks, Christopher.
Operator: Ladies and gentlemen, that concludes the call today. Thank you for participating, and you may now disconnect.